Operator: Ladies and gentlemen, thank you for standing by, and welcome to Radian's Second Quarter 2012 Earnings Call. [Operator Instructions] As a reminder, today's call is being recorded. With that being said, I'll turn the conference now to Ms. Emily Riley, Vice President of Investor Relations. Please go ahead.
Emily Riley: Thank you. And welcome to Radian's Second Quarter 2012 Conference Call. Our press release, which contains Radian's financial results for the quarter, was issued earlier today and it, as well as the slides that will be referenced during today's call, have been posted to the Investors section of our website at www.radian.biz. During today's call, you will hear from S.A. Ibrahim, Radian's Chief Executive Officer; and Bob Quint, Chief Financial Officer. Also on hand for the Q&A portion of the call are Teresa Bryce Bazemore, President of Radian Guaranty; David Beidler, President of Radian Asset Assurance; Scott Theobald, Executive Vice President and Chief Risk Officer of Radian Guaranty; and Derek Brummer, Chief Risk Officer and General Counsel of Radian Asset. Before we begin, I would like to remind you that comments made during this call will include forward-looking statements. These statements are based on current expectations, estimates, projections and assumptions that are subject to risks and uncertainties which may cause actual results to differ materially. For a discussion of these risks, please review the cautionary statements regarding forward-looking statements included in our earnings release and the Risk Factors included in our 2011 Form 10-K. These are also available on our website. Now I would like to turn the call over to S.A.
Sanford A. Ibrahim: Thank you, Emily. And thank you, all, for joining us. Today, I will first provide brief highlights of our quarterly results then I will focus my remarks on the topics that we believe are most important to you: how we at Radian continue to expand our mortgage insurance franchise and capture a larger share of new high-quality business while effectively mitigating losses in our legacy portfolio, what we're doing to reduce our risk exposure in financial guaranty and provide important capital support for our MI business and how we are managing our capital and positioning Radian for success and a return to profitability. Next, Rob will cover the details of our financials, and then I'll provide a few summary points before we open the call to your questions. Earlier today, we reported a net loss for the second quarter of $119 million or $0.90 per diluted share. This includes the impact of fair value and other financial instrument losses of $95 million which consisted primarily of the impact from the April commutation of our troubled CDO of ABS transaction and certain TruPs exposure. As you know, commuting these exposures and removing this risk for Radian was a critical achievement that helped us further reduce our financial guaranty risk and preserve our capital. Bob will discuss the accounting implications during his remarks. At June 30, 2012, our book value per share was $6.75. Radian Guaranty's risk-to-capital ratio remains steady at 21:1 in the second quarter. The maintenance of our risk-to-capital ratio over time has been achieved by the many actions we have taken to manage our risk-to-capital position, including internal and external reinsurance, reductions in commutations of risk exposure and by realizing investment gains. We believe that Radian is positioned to continue writing new high-quality mortgage insurance business uninterrupted well into the future. Now let me turn to the topics that we believe are top of mind. First, we continue to write more new mortgage insurance business with outstanding credit quality that can generate strong returns. In recent months, we have been capturing the largest share of new mortgage insurance business than ever before in our history in an exceptionally competitive but high-quality market. In the second quarter, we wrote $8.3 billion of new mortgage insurance business and wrote $14.8 million through the end of the second quarter. We wrote 3x as much of new business as in the first half of 2012 as we did in the first half of last year, and the momentum continued in July with another $3.4 billion of new business written. The business written in the month of July alone is estimated to generate $20 million in after-tax value over its life after adjusting for reinsurance, and perhaps even more if the credit performance is better than expected, as has been the case with our most recent originations. There's no denying that our sales and customer service teams have hussled. Their energy and enthusiasm help to set Radian apart as we continue to increase the amount of business we are writing. We have successfully retained our traditionally strong share of business from the nation's largest lenders while steadily increasing our business volume from credit unions, community banks and independent mortgage lenders. In fact, 18% of our NIW in 2012 came from customers new to Radian since last year, and nearly 40% from the approximately 1,100 customers, new to Radian since 2008. Importantly, as of the second quarter, the 2009 and -- through 2012 books grew to more than 35% of our primary risk in force and the most problematic 2006 and '07 books are now down to just under 30%. If the pace of our new business volume continues, we expect that, by mid-2013, our book of business written after 2008 will be larger than the book written in 2008 and prior. We view this shift as a positive factor that differentiates Radian and view it as one of the primary drivers of our expected return to operating profitability in 2013. Second, we continue to focus on mitigating losses in our mortgage insurance portfolio. There are positive trends and improving results in our legacy book as the total number of deposit loans continues to decline. The default rate on our primary books fell further in the second quarter to 13% and the default rate on primary flow business fell below 10%. As we continue to work through the challenging 2006 through 2008 books, our reserve to support our mortgage insurance losses stands at $3.2 billion today, and our primary reserve for default increased again this quarter to $28,413. You will find the details of our rescission and denial activity on Slide 19 of our webcast presentation. These rates remained steady and elevated as we work through the legacy books where underwriting and servicing shortcomings are prevalent. As you can see on Slide 20, our denial activity has increased, with most of the denials coming from one servicer. Bob will provide more details on this in a moment. What is most important to remember is that we continue to pay appropriate claims and have paid in excess of $5 billion since 2008 while enforcing our rights on fully underwritten fraudulent or negligently serviced loans. Third, our financial guaranty business continues to serve as an important and unique source of capital for Radian Guaranty. We have reduced our net core exposure from a peak of $115 billion in June 2008, when Radian Asset stopped writing new business, to $42 billion in the second quarter of 2012 primarily through a series of successful commutations, a reduction of total financial guaranty risk exposure by 64%. Importantly, as you can see on Slide 25, our long-duration muni exposure was reduced by 74% since 2008. Our remaining structured finance exposure consists primarily of our corporate CDO book. As you can see on Slide 28, of the $20.2 billion in corporate CDO exposure, $10.1 billion, or half matures, by the end of 2013, and the remainder, by the end of 2017. Since 2008, Radian Asset has paid Radian Guaranty a total of $384 million in dividends, including the most recent dividend of $54 million. Radian Asset expects to pay another dividend of approximately $40 million to Radian Guaranty next year. In May, Radian Asset also released $55 million of contingency reserves with the approval of the New York Department of Financial Services, which increases the total release of contingency reserves related to the direct book since 2008 to $270 million. As mentioned earlier, in April, we significantly improved the credit profile of our financial guaranty book by commuting our large CDO of ABS exposure and a significant portion of our riskiest TruPs exposure. An additional $288 million in contingency reserves remains to support Radian Asset's existing risk, representing a potential opportunity over time to add to Radian Guaranty's statutory capital as the exposure is ultimately reduced and contingency reserves are released. Fourth, we continue to project a return to a small level of operating profitability in 2013. While the challenge of our economy and legacy portfolio clearly remains, we believe on our -- we believe, based on our experience and trends, that we will achieve a small operating profit next year. Finally, our industry continues to slowly but steadily regain share from the FHA and we believe the private MI market penetration has more than doubled from the beginning of 2010 to its level today. The FHA has reached twice as 4x in the past 2 years and has clearly stated its intention to reduce its risk and take on a more traditional role in the housing finance market. More broadly, we continue to hear resounding support in Congress for a larger role for private capital, including private mortgage insurance, in the future of housing finance. At this time, it appears unlikely that any significant legislation impacting our industry will be taken up before the election. Now I would like to turn the call over to Bob for details of our financial position.
C. Robert Quint: Thank you, S.A. I'll be updating you on our P&L activity and trends for the second quarter of 2012 and our capital and liquidity positions as of June 30, 2012. The MI provision for losses was $208 million this quarter compared to $235 million last quarter and $270 million a year ago. The improved loss development this quarter was driven by the decline in new defaults due primarily to the improving credit composition of our in force book. Primary new defaults for both the second quarter and for the first half of the year are down by 20% compared to 2011. First time default, which we view as more likely to ultimately become a claim, and repeat default continued to decline. In the second quarter, first time defaults was 4,867 compared to 5,565 in the first quarter this year and 6,953 in the second quarter of 2011. We believe that this new default trend will continue as a result of the changes in our book composition and improved HARP results. We expect a larger MI operating loss in the second half of 2012 compared to the first half due to seasonality and expect a small operating profit for the year 2013, which assumes the continuation of improved new default trends and no material adverse reserve development or unexpected financial guaranty loss. The amount in our June 30 balance sheet representing future expected denials and rescissions is $532 million. The IBNR reserve relating to future overturn of already-denied and rescinded policies is approximately $224 million. As we've previously disclosed, approximately 50% of the currently outstanding denials are expected to be reinstated mainly as a result of servicers ultimately finding and producing the documents necessary to perfect the claim within the time frame allowed under our master policy. While our experience clearly supports this estimate, it is important to note that this assumption is not very material to our overall loss reserve estimate. For example, even if the reinstatement percentage shifted significantly to 75%, the resulting addition to our total loss reserves will only be about $97 million. Because our recent denial figures have been skewed by one large servicer, we have separated the specific denial information for this servicer on the Default Rollforward, Slide 20. This servicer represented about 30% of our defaults and 72% of our denials in the second quarter, and we believe that the denial line, excluding this servicer, is more representative of our overall denial trend. We've also updated the information relating to our default inventory that we introduced in June, and that's on a Slide 13 and 14. We show delinquent loans for which at least one payment was made during the quarter but remained in default which demonstrates the borrower's commitment to pay and new defaults that have been in and out of default multiple times which are defaults that have historically gone to claim at a lower rate than first time defaults. We believe that the numbers and trends on these slides help provide support for our default-to-claim estimates. In addition, Slide 15 shows the aging of our delinquencies. Many of our older delinquencies remain in the early stages of resolution, meaning that no foreclosure action has started. We reviewed -- we are reviewing the servicing of many older delinquencies to ascertain whether foreclosure time lines, dictated by our master policy, were violated. Based on our preliminary analysis, we believe that a meaningful percentage of these delinquencies, to the extent they do become claims, will be subject to claim curtailments or denial and thus will not become fully paid claims. Radian Guaranty's risk-to-capital ratio is estimated to be 21.0:1 as of June 30. The primary driver of the slight increase to our risk-to-capital ratio this quarter was the addition to net risk in force from our substantial new returns written, though some of this increase was offset by risks stated under our quota share reinsurance. Radian Guaranty ended the quarter with $923 million of statutory capital, up slightly from last quarter, and additions to our statutory capital from the financial guaranty business were mostly offset by MI operating losses. For the next few quarters, we expect our strong new insurance volume will continue to increase our net risk in force and operating losses in the second half of the year will decrease our capital level. These effects could potentially be offset by investment gains that are currently embedded in our portfolio by reinsurance or by capital contribution. With regard to financial guaranty performance, there were minimal incurred losses during the quarter. As some of you probably saw, we expanded our financial guaranty disclosure during the quarter by listing on our website the specific details regarding much of our direct-structured finance portfolio and information regarding a publicized municipal credit. As we announced last quarter, we commuted our $450 million problematic CDO of ABS transaction, along with a series of TruPs CDOs for which the collective exposure of just under $700 million was reduced to a $75 million recovery. This $75 million is still at risk and the ultimate recovery will depend primarily on the future performance of the commuted TruPs CDO. Because the fair value of these transactions prior to the commutation was impacted by Radian's credit spread, which reduced the fair value liability, we recognized a combined loss of $108 million for GAAP purposes, essentially representing the difference between our payment and the fair value liability that existed. $64 million of that loss is the portion related to the CDO of ABS and is contained on the gain in loss, another financial instrument line, and the balance relating to the TruPS is contained within the changing fair value of derivatives line. Importantly, the statutory impacted the transaction this quarter with a small gain and hence a small addition to statutory capital. As always, Slide 9 depicts our current balance sheet fair value position, along with the expected net credit losses or recovery on fair value exposures. There is currently a net credit recovery as the majority of the previous quarter's expected payment, which was the CDO of ABS commutation payment, and we currently expect to recover the payment made with regard to the TruPS. If our projections are correct regarding the future credit loss payments and recoveries, we will see an addition of approximately $196 million to our pretax book value over time as the exposures mature or are otherwise eliminated. That number is arrived at by taking the net balance sheet liability of $138 million and adding the present value of credit loss recovery of $58 million, and both of these numbers are shown on Slide 9. The $7.7 million gain on sale of affiliates is from the sale of the financial guaranty shell which completed the Assured Guaranty transaction. As of June 30, 2012, the valuation allowance against our deferred tax asset is approximately $924 million or $6.92 per share. Although we believe this amount will be realized in the future and we would not have to pay taxes on significant future profits, this GAAP valuation allowance will only be reversed if and when we demonstrate a sustained level of profitability. During the quarter and in July, we purchased approximately $24 million of our 2013 debt at a modest discount. We have approximately $340 million currently available at the holding company and our remaining 2013 debt outstanding is down to $80 million. There were no contributions required to be made to any of our MI subs this quarter. Absent any additional risk-to-capital support, we still expect Radian Guaranty to breach 25:1 sometime in the second half of 2012. Contributions from the holding company are possible during 2012 and beyond, including our requirement to provide Radian Mortgage Assurance with $50 million from Radian Group when we bridge 25:1 at Radian Guaranty. There is also potential use of some holding company cash when our IRS issue is finalized, which may occur in 2012. As a reminder, we have $250 million of debt maturing just under 3 years from now, in June of 2015. I'd now like to turn the call back over to S.A.
Sanford A. Ibrahim: Thank you, Bob. Before we turn to the operator, I would like to summarize 4 important points. First, we wrote $8.3 billion in NIW in the second quarter, representing what we believe is the largest share of today's high-quality and profitable business. And we wrote another $3.4 billion in July. Second, since 2008, we reduced our Radian Asset risk exposure by 64% while paying $384 million in dividends to Radian Guaranty and releasing $270 million in contingency reserves. And our statutory surplus stands at $1.2 billion. Third, at the end of the second quarter, we maintained a steady risk-to-capital ratio of 21:1. And finally, we have $340 million currently available in holding company liquidity after taking advantage of opportunities to continue reducing our 2013 debt which now has a remaining balance of $80 million. And now, operator, I would like to open the call to questions.
Operator: [Operator Instructions] And first, from the line of Jasper Burch with Macquarie.
Jasper Burch - Macquarie Research: I guess, just starting off with your expectation for profitability in 2013. I was wondering if you could give us a little bit more color around sort of milestones to get there. I know, Bob, you said that you're expecting continuing the current default trends. Does that mean, to get there, you're expecting continued 20% year-over-year decline in new notices? And then what are you expecting on the new business to add?
C. Robert Quint: Jasper, yes, this is Bob. I think we're expecting a continuation of the decline in new defaults. I think we said 15% from 2012 to 2013, but I think that's fair. I think we're running a little bit ahead of that now, our expectation with regard to new business. I think that that's not going to impact our expectation with regard to profitability in '13 that much. However, certainly it helps in terms of generating additional premiums, so that's certainly a good thing. And then obviously we caveat, we say, look, if you look at the incurred loss development, it's been mostly due to the new defaults so the incurred losses have been due to the new defaults and not the prior development which we saw in prior years and we're expecting that trend to continue as well, as well as no more unexpected financial guaranty loss. So given that, our projections are showing profitability in 2013.
Jasper Burch - Macquarie Research: Okay, that's helpful. And then, I guess, sort of on a different note: I just noticed you guys had a paid claim on the financial guaranty book. What was that in the quarter?
C. Robert Quint: We actually had a recovery. I believe you probably see a negative. There was a recovery of -- as is sometimes happens within the business, you pay something out but then you get a recovery. So that's what happened.
Operator: And next in line is Mark DeVries with Barclays.
Mark C. DeVries - Barclays Capital, Research Division: First question. You had a pretty steady decline in the average claim paid over the last 3 quarters, claims side, that is. What's behind that? And what's your expectations there, going forward?
C. Robert Quint: Books, it's mostly, Mark, due to the curtailments that have been increasing as of the recent past. We've all read about the servicing issues that are out there and we have curtailed more regarding those claims. And we do expect that to continue for the foreseeable future.
Mark C. DeVries - Barclays Capital, Research Division: Okay, got it. How much longer should we expect to see this kind of elevated level of denials?
Sanford A. Ibrahim: Well, specifically with respect to denials, since a lot of the denials are now driven by servicing practices, that's what is driving the denial issue. And the servicing practice are not changing. Having said that, though, I -- before I turn it over to Teresa for more details, a lot of the denials are coming from -- most of our denials are coming from indeed 75% from one servicer. And to the extent that we can resolve some of the issues that are related to that servicer, there could be a change in our denial box here. But I'll let Teresa explain the mechanics of our denials in more detail.
Teresa Bryce Bazemore: Yes. I would say that, as you can expect, these servicing practices are increasingly critical to mitigating our risk of loss. And the flaws with servicing practices have now been well documented. While we have not increased the number of documents that we require, we have increased our enforcement of receiving our documents within the time frames provided under the master policy. As an example, the receipt of the servicing notes is very important in evaluating whether a curtailment of a claim is warranted. It's important to note that the master policy terms give servicers ample time to produce documents and that, even after a denial, servicers have one year from acquisition of title to produce the document. That is the reason why our IBNR reflects an assumption that 50% will be resubmitted with the appropriate documents.
Mark C. DeVries - Barclays Capital, Research Division: Okay. And that's 50% reinstatement rate, how consistent is that across servicers? Do you see some in a variation where some were a lot higher and some were lower? Or are you seeing that pretty consistently across most servicers?
H. Scott Theobald: On -- this is Scott Theobald. There is various -- variations of product servicers and their ability to produce those documents.
Mark C. DeVries - Barclays Capital, Research Division: Okay, great. And just one more I would...
Sanford A. Ibrahim: In fact, I would point out that even the denial rate is not consistent across the reserves because some servicers can produce documents right upfront.
Mark C. DeVries - Barclays Capital, Research Division: Got it. And then finally, despite some pretty significant commutations and this low volatility, the financial guaranty premium line has held around $16 million. Is that a reasonable run rate, or should we expect that to decline going forward?
C. Robert Quint: Yes, I mean, it should decline over time certainly as the book has declined. This quarter, I think there was some refunding which helped the earned number, and we know that can cause some volatility in the line. But over time, you're going to see that go down.
Operator: Our next question is from Douglas Harter with Credit Suisse.
Douglas Harter - Crédit Suisse AG, Research Division: Bob, I was hoping to just drill more into that, to your comment. Do you expect a larger seasonal loss in the back half of this year? I guess the point there -- I guess the question I had was -- the first half saw a large increase in reserves per default. Now are you -- does that comment anticipate something like that continuing to occur? Or is it just sort of more on the higher -- lower cures, higher notices?
C. Robert Quint: Yes, I think it's the latter. Remember, we haven't really changed our default-to-claim expectations. The reason that the reserves for default is up is more due to the composition changes than anything. And yes, seasonally, we do expect typically in the fourth quarter especially but in the second half of the year, generally you get a higher level of new notices and a lower level of cures.
Douglas Harter - Crédit Suisse AG, Research Division: But you're not necessarily anticipating any big changes to those reserves for defaults?.
C. Robert Quint: We're not.
Operator: And the line of David Epstein with CRT Capital.
David Epstein - CRT Capital Group LLC, Research Division: Is it purely a function of seasonality that your cures on early-stage delinquencies were down in Q2 from Q1?
C. Robert Quint: Yes, we -- yes, seasonally, the first quarter is always the best for cures.
Operator: And we'll go to the of Jack Micenko with SIG.
Jack Micenko - Susquehanna Financial Group, LLLP, Research Division: A couple of questions. Talking about the late-stage bucket on default side on Pages 14 and 15 on the deck. Thanks for the additional color, by the way. The bullet at the bottom of 15 where you talk about servicing the oldest delinquent loans to determine whether foreclosure time lines are violated. Obviously, we touched on a paperwork time frame. But can you just expand on that bullet a little bit more, around the time line, and what time line are you're speaking of?
C. Robert Quint: Yes, we mean, we -- the servicers are required to begin the foreclosure within 6 months from the default and then may have 1 year to perfect the claim after that. So those are the general time frames within our master policy. Now of course there could be some things within the law that extend that, but those are the general guidelines. So we're really looking at 18 months from default that the -- that's the time frame: the 6 months plus the year.
Jack Micenko - Susquehanna Financial Group, LLLP, Research Division: So this sort of imply obviously a significant amount of late-stage may see some rescission, going forward. And then on Page 14, the breakout of the new defaults and the previously delinquent, I'm wondering if anecdotally you can share with us what that chart would look like if we apply that to the late-stage component of the book. Now what's the new default composition there relative to -- obviously, early defaults are going to be more previously delinquent, I would guess, but can you give us any sense on how many have gone into that late-stage and are not -- I mean, you've got -- we've got the payment numbers on terms of days from default, but can you give a breakout out on the late-stage bucket, as you have on 14?
H. Scott Theobald: This is Scott Theobald. I don't have the late-stage bucket in front of me. But for the total default inventory, about half of the defaults have made one or more -- is a repeat defaults.
Operator: Our next question is from Shawn Faurot with Deutsche Bank.
Shawn Faurot: I don't know if I missed it in the prepared commentary, but did you guys talk about the [indiscernible] tax issue and kind of timing and any updates on that?
C. Robert Quint: We didn't, Shawn, but there's really no update other than we're still in negotiation. And it's possible that it would be resolved in 2012, but it's also possible that it would go on and potentially be -- even be litigated if an agreement cannot come to pass.
Shawn Faurot: But you guys have the -- I mean, do you feel like you have the ability to push that off as it relates to the holdco liquidity? And any news there? It would...
C. Robert Quint: Well, as it -- yes, to the extent that it would -- a settlement may require cash in 2012. If there was no settlement, then it would be pushed off.
Shawn Faurot: Okay. And then single versus monthly premiums, I mean, I know you guys have been increasing disclosure around that. Can you talk about the current market and why people are looking for one versus the other or why you guys would be targeting -- it seems like you guys clearly have been targeting monthly premiums and have been getting some pushbacks from other competitors as to -- you guys look doing more on the single premium front. Can you talk about that dynamic a little bit and just so we can get a little bit more color?
Sanford A. Ibrahim: First, let me talk about our philosophy, and then Teresa can give you color on the market. In terms of philosophy, we take the view at Radian that we cannot forecast whether a loan is going to be on the books for 5 years or 7 years, so we cannot forecast persistency rate. Indeed, if you would have asked people even 3 months ago, what the -- they would've said that persistency would continue to remain low, and in fact, we are seeing it trend up as refinancing activity in the industry has taken off. And there's a likelihood it would taken -- take off some more in the case of some borrowers as property values start creeping up. So our view is to try and achieve the best balance, and we believe the current mix, somewhere in the range of 30% to 40% single premiums, gives us an ability to balance our returns over the long term. And indeed, to the extent that persistency -- and since a lot of our single premiums are 90% LTV borrowers who we believe have a higher propensity to refinance, indeed if persistency comes down and it is more skewed towards the single premiums, we will benefit from having realized the premium and the risk going away faster. Having said that, Teresa could give you a color -- some color on the market.
Teresa Bryce Bazemore: Well, I would say, I think, first, with respect to our pricing, we believe that the pricing for both our monthly and single premium products is profitable. Having said that, I think, if you go back and look at 2010 into 2011, the single premiums were one of the products that was most competitive with the FHA. And now with all of the changes that have occurred from a pricing point of view in terms of us reducing the pricing on our monthly MI and the FHA having increased theirs, there's been a lot more opportunity to push the monthly MI product and in addition to all the training we've done with loan officers and lenders. So I think that's why you've seen that trend happen over time because the monthly product has become a lot more competitive in -- with the FHA.
Shawn Faurot: That's helpful. One more, just the recoveries that you guys talk about on Slide 9 as it relates to the financial guaranty business. Can you talk about that a little bit more and how that's structured and time line for those recoveries and if you guys have any expectations there?
C. Robert Quint: Yes, I mean, it's really based on -- it's going to be based on the performance of the commuted TruPS CDOs that was part of the commutation transaction. And we're going to have to see how they perform. And essentially, if there are no losses on them, we'll get that money back. And if there are losses, that money could go toward the losses. Now it's capped at that amount so it can't be any more than that. That's why we say our exposure has been reduced to that level.
Shawn Faurot: And that's 200-something million? Is that...
C. Robert Quint: No, no, no. That -- it's the primary component of the number down below, that negative $72.2 million in financial guaranty.
Shawn Faurot: But that's present value, right? The total amount, what's the total amount, not present value, do you know?
C. Robert Quint: It's not much more than that.
Operator: Our next question is from Randy Raisman [ph] with Marathon.
Unknown Analyst: I just want to dig a little bit more on kind of -- you put in your materials guidance saying you still believe your paid claims will be $1.1 billion for the full year. And you're kind of telling us that the risk-to-capital is going to go greater than 25x. And you're saying you're expecting up an increase in losses in the second half of the year, but then you're talking about turning profitable in 2013. And what's going to drive that big shift? Because to go from 21 to 25 implies some significant losses we're going to start seeing. So do I then go from that to being profitable? And then I have one other question after that.
C. Robert Quint: Well, if you look at the components of the risk-to-capital, risk divided by capital, you'll see that a move from 21 to 25 doesn't take that much. It's a pretty sensitive kind of calculation. So I think a move from 21 to 25, absent, and we were very clear in saying absent, any additional risk-to-capital support. So given just the results of the business where we're writing a lot of business, that's a good thing for the business but that increases the numerator or the risk. And due to seasonality, we expect MI operating losses in the second half of the year. Both of those will be items that serve to increase the risk-to-capital ratio. Now we've done a lot of internal things, as you've seen, internal reinsurance, external reinsurance, certainly investment gains which we have in our portfolio, and all of that could serve to offset the increases to our risk-to-capital. So we're going to have to follow it and see how it plays out. We're set up to continue writing if you we go above 25:1, which is very important. But it isn't a number that requires a lot to move, it's a fairly sensitive calculation.
Unknown Analyst: Right. And then can you just expand a little on the comment you made the whole IBNR and a potential restatement issue? I just want to make sure I'm completely clear on that and that I have all those numbers. So you've reserved $224 million for claims that could potentially result in $500 million in losses. And you think that, as long as your estimates are right, then there's no further impact to capital, and if not, then obviously you would need to true up the reserve from the $224 million to the -- to whatever it ultimately ends up getting put back to you. Is that the right way to think about that?
C. Robert Quint: Just to be clear, the reinstatement, that's what you were getting at.
Unknown Analyst: Yes, yes, I'm sorry.
C. Robert Quint: Yes. So 2 different items but we always disclose them so everyone understands what they are. The first one is that $524 million -- was that what it was -- $500 million relating to future expected denials and rescissions. So we are expecting that, in the future, we will deny or rescind net $500 million-plus, give or take, in the future and that number is an offset to a loss reserve. So there's a gross reserve number but then we offset our loss reserve and we report based on that net number. So that's a component of our loss reserves. If our rescission, denial assumptions are too low, and they're higher, then there's a benefit. If they're too high, then it would go the other way. The other thing is that $224 million, which is the component of the IBNR. It's not the whole IBNR but it's the component relating to reinstatements of denials that were already denied but can be reinstated if the documentation is provided, and that's 50% that we're talking about.
Unknown Analyst: So does that mean, then, the $224 million, those are reserves you've taken on, claims you've denied for whatever -- because you think there's a problem with documentation or whatever the case may be, and that $224 million is basically 50% of what you've denied? So is your thinking more...
C. Robert Quint: Yes, that's exactly right. Yes, it's exactly right. So we're basically taking credit for 1 out of 2 because we have the expectation that the other one is going to come back. And we include that in our reserve estimate so we make sure that when a denial has come back, then we don't have to adjust the reserve, they're built into the reserves.
Unknown Analyst: And then the $524 million for future expected denials. I mean, and that is a -- that goes -- that sort of -- you bring your reserve down by that amount. So I mean, how much kind leeway do you have in kind of coming up with that $524 million number? Just because that's a pretty big deduct from incurred losses. So I just kind of want to understand the process behind that.
C. Robert Quint: Well, there's no leeway. I mean, it's based on history, it's based on trends, it's an audited number annually that needs to be justified, and we do just that. So we only put that number out there and normally include it in our reserves when there's justification based on history and based on what we see in the inventory. It's a very significant part of our reserve estimate that requires much support and justification.
Sanford A. Ibrahim: And without using that, our reserves would not be accurate because, if you step back and look at the reserves, the expectation of future losses and therefore the gross losses we take are adjusted by the denials and rescissions, which is an established past trend. So it has to be done that way.
Operator: Our next question is from Conor Ryan with Saba Capital.
Conor Ryan: I was just curious, going through some of your reserve per new delinquent information. Just based on backing into what percentage of your -- or what amount of your loss reserves were associated with new versus existing. And it looked to me like your "cure ratio assumption" had declined a little bit this quarter. Is that something that we can kind of expect going forward, or is that sort of momentary in nature?
C. Robert Quint: Yes, the individual -- Conor, the individual assumptions haven't changed. So if there is an increase in $0.03 or fewer, it could be that there are more that 3, as opposed to 2. It's going to be maybe composition within a bucket but the individual assumptions really haven't changed.
Conor Ryan: Yes, right. But I guess what I'm saying is, if I look at Slide 11, Components of Provision for Losses...
C. Robert Quint: Okay.
Conor Ryan: Based on the number of new delinquents you have, it looks like the reserve per new delinquent was roughly $8,540.
C. Robert Quint: Right. But again, a new default this quarter could be 3 months down or 2 months down. There are differences. It could be loan size. It's going to be the individual characteristics of the loan, as opposed to a change in our assumptions regarding any of those things.
Conor Ryan: Okay. So it's loan by loan. Because it just looks to me, like, if you take that number as a percentage of your paid claim number for the quarter, it had dropped decently.
C. Robert Quint: Yes, that's going to be more coincidence than anything. I think we're -- our -- again, our assumptions regarding the default-to-claim rate have not changed.
Conor Ryan: Okay. I was just curious. It's been relatively consistent in the past.
Operator: The next question is from Bose George with KBW.
Bose George - Keefe, Bruyette, & Woods, Inc., Research Division: Actually, first on -- your HARP refi activity number was quite up a bit. I was wondering, was there anything you guys changed, or was that just the market?
Teresa Bryce Bazemore: This is Teresa. I think it was just the market. I mean, we continue to see those servicers ramp up their participation and so -- and in particularly with some of the program changes that really took place in March, we really started to see that increase even more.
Bose George - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, great. And then just going back to the profit expectation you gave on the new business you're writing. I was just curious, what sort of loss assumptions are being incorporated?
C. Robert Quint: It's a projection that takes our loss ratio to about, I'd say, mid 30s or so.
Bose George - Keefe, Bruyette, & Woods, Inc., Research Division: I meant just on the new business,so the $20 million of profit on new business that you wrote this year.
C. Robert Quint: Well, that's -- yes, that's what I'm talking about. It's a -- it's not, for example, looking at the past couple of years which have performed better than expectations. This is more, sort of an average expectation based on a longer history than just the recent past.
Bose George - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, great. And then just as a quick follow-up on the single premium discussion. Do you know what percentage of the market is single premium?
Teresa Bryce Bazemore: I don't think we know that answer.
Operator: And we'll go to Jason Stewart with Compass Point.
Jason Stewart - Compass Point Research & Trading, LLC, Research Division: On the new business side, can you talk about any guideline changes or products that you're finding the market's most receptive to and driving the new business?
Teresa Bryce Bazemore: Well, I think one of the important factors in terms of the new business is part of what S.A. talked about in terms of the number of new customers that we brought on board. And that's been a huge driver in addition to working with our existing customers to increase the amount of business that we're getting from them. I think the one underwriting program that we put in place has certainly made it easier for customers to do business with us. But I think a lot of it has been around training and relationships and the customer service that we provide.
Jason Stewart - Compass Point Research & Trading, LLC, Research Division: Okay, so nothing on maybe a particular LTV or...
Teresa Bryce Bazemore: No, nothing like that.
Sanford A. Ibrahim: As you saw from our numbers, I mean, the LTV mix remains very strong, very high quality and relatively stable, so the credit factors continue to remain very strong. It has been mostly our success in focusing on -- and not just recently but for the last few years, focusing on expanding our sales force and going after more customers segment by segment.
Jason Stewart - Compass Point Research & Trading, LLC, Research Division: Okay, great. And then one question on the -- on Page 20. As this one servicer that has a lot of denials related to it transfer servicing to others, would you expect the trend to change at all? Or is it your expectation that, once they can't find the document to give you, they're not going to be able to transfer to a new servicer to find it for you?
H. Scott Theobald: This is Scott Theobald. This is after claim submission. And so once something is at the claim model, it's not going to get transferred anymore.
Operator: Our next question is from Anand Krishnan [ph] with For Research [ph].
Unknown Analyst: Question related to the disclosure on Slide 20, the value separated out, denials related to one servicer. I just wanted to check what has been the historic reinstatement with experience from this servicer. Appreciate you taking the question.
C. Robert Quint: Yes, we wouldn't give any individual reinstatement rates for any individual servicer.
Unknown Analyst: Because the reason you separated that out is so that it's coming from one servicer, so it's a disproportionate proof model on denials. So I just wanted to see if -- how to think about the go-forward reinstatement.
C. Robert Quint: Look, our -- to the extent that it's a big component of our overall denials, it's going to be a bigger component of the reinstatement percentage that we estimate. But we don't -- we wouldn't break it out individually by the -- our overall denial reinstatement is 50%.
Operator: Our next question is from Geoffrey Dunn with Dowling & Partners.
Geoffrey M. Dunn - Dowling & Partners Securities, LLC: On the curtailment review you talked about, do you have any kind of sizing color you could provide us? What type of opportunity do you think there is to reduce gross severities given the extended time lines? Is there something maybe 10%, 20% opportunity?
Teresa Bryce Bazemore: I was just going to say, I mean, I don't think we can estimate a sizing on that. It really is a loan-by-loan kind of analysis with respect to what the issues have been. And over time -- we've had curtailments that have been done for a number of reasons over time. We've seen an increase in the amount that are due to servicing negligence, which you wouldn't be surprised to see. But until we look at each individual loan, we just don't know what that is going to entail.
Geoffrey M. Dunn - Dowling & Partners Securities, LLC: Okay. And obviously, when we're dealing with the dollars here, we have to be concerned about pushback from the counterparty. Is it very clear in the documentation what would constitute a curtailment opportunity? Or is this another one of those things where, like rescission or denials, we might have to consider some overturn decisions down the road?
H. Scott Theobald: Geoff, this is Scott Theobald. When we actually pay the claim in those curtailments are servicing related, part of the explanation for the curtailment will be very specific as to what the servicing issues were, what the infractions were. Having said that, we do expect to be challenged on some of these. However, we make it very clear what the servicing infractions are that the curtailment is designed to mitigate.
Geoffrey M. Dunn - Dowling & Partners Securities, LLC: Okay. And then last question: With respect to denials, what's the typical time line? And I know it can be vary and be lumpy, but what's the typical time line for a response on a denial? And if it's shorter time frame, have the ramp-up on that one particular servicer and their denial response been consistent with that?
H. Scott Theobald: There's -- the time frame of responding kind of varies: multiple requests for the documents to come in. And after those multiple requests are exhausted, then a denial goes out. Even after the denial goes out, they still have the one year from the acquisition of title before it actually -- they can't resubmit. So the time frame, that kind of depends.
Operator: And from the line of Steve Stelmach with FBR.
Steve Stelmach - FBR Capital Markets & Co., Research Division: Just answered all my curtailment questions, but I got a quick one on average premiums. As you guys are writing a lot of new business, credit quality for that business is still very, very strong, indicative of what is probably a pretty tight lending environment there. To the extent that lenders begin to loosen the purse strings a little bit, is there a chance for average FICOs to migrate down, LTVs up and maybe average premiums to go a little bit higher from here? Or sort of what we see is what we get? What's sort of trajectory in premiums?
C. Robert Quint: Yes, I mean, I think it's pretty much what you see is what you get. I mean, there certainly could be changes in the mix from 90 to 95 LTVs, which do have different premium rates for that, that could occur. But we haven't seen any degradation in the credit lines.
Teresa Bryce Bazemore: Yes, and I would say that, with respect to the GFC pricing, as long as the LLPAs continue to be in effect, I wouldn't expect to see us get much different than the FICO levels that we're seeing today just because, I think, from a pricing point of view, it would still push that business towards the FHA.
Sanford A. Ibrahim: Also, I think the lenders are waiting to see more clarity on the Q1 definition and other factors. So right now; in talking with them, it doesn't appear that they are really in any way trying to push the envelope. If anything, most of them are operating well inside the box that they could be operating at.
Operator: And that will conclude our Q&A session. I'll turn it back to our host for any closing comments.
Sanford A. Ibrahim: Well, thank you, operator. And I'd like to thank everybody for participating on this call. See you guys on the next call. Thanks.
Operator: Ladies and gentlemen, does that conclude your conference for today. Thank you for your participation. You may now disconnect.